Operator: Good afternoon, my name is Angelit and I will be your conference operator today. At this time I would like to welcome everyone to the third quarter earning’s conference call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks there will be a question and answer session. (Operator’s instructions) Thank you, Ms. Anderson, you may begin.
Karli Anderson : Thank you. Thank you for joining us today to discuss the company’s results of the third quarter 2009. This call is also being broadcast live on the internet through our website at www.coeur.com where we have also posted the slides that accompany our prepared remarks. Telephonic replay of the call will be available for one week after on our website. On the call today, here in Coeur d’Alene are Dennis Wheeler, Chairman, President and Chief Executive Officer, Mitchell Krebs, Senior Vice President and Chief Financial Officer, Richard Weston, Senior Vice President for Operators. On the phone are Leon Hardy, Senior Vice President of North American’s Operations, Don Birak, Senior Vice President of Exploration, Humberto Rada, President of Coeur’s South America (inaudible) and Don Gray, Senior Vice President of South American Operations. Any forward-looking statements made today by management come under the securities legislation of the United States, Canada and Australia and involve a number of risks that could cause actual results to differ from our projection. Please see our full cautionary statement on Slide 2. With that I’d like to turn the call over to Dennis.
Dennis E. Wheeler : We welcome you today and thank you for joining us on our call. It was a record setting quarter for Coeur. We produced 5.2 million silver ounces, an all time record and we posted our highest ever quarterly revenue of $89.8 million. So today, while we are mostly satisfied with our progress we are intensely focused on optimizing our mines and on future growth. We will actively support these efforts to complete the ramp up at Palmarejo with our Kensington mine, now in the final stage of construction on schedule and budget, and to begin production in 2010. And with our San Bartolome team committed to achieving excellence and with the rebirth of Rochester we are well poised to complete 2009 successfully. It’s been a year of progress to date but we still have work to do. So look for more setting activity and improvement from us as we build the world’s premium precious metals company. Slide 4 shows clearly; core strategy to transition to long line low cost mine is delivering results. Third quarter results were nicely complemented by Palmarejo increasing production. Here in the fourth quarter Palmarejo is approaching full scale mine production while silver recoveries have markedly increased. In the exercise of conservative, we have made a slight downward adjustment of 500,000 ounces to our full year forecast at San Bartolome after the government announced a resolution to temporarily suspend mining activities above the elevation of 4,400 meters there, while stability studies of Cerro Rico Mountain are undertaken, which are unrelated to our mining operations confined to the surface of the property. Mining does continue actively on the remainder of the property and we have had some favorable results there in the last 24 hours. Although the news media sends mixed messages, I want you to know that the President of Bolivia has affirmed his support for private investment and San Bartolome continues to enjoy the full support of the mining cooperatives, the business community at large and our outstanding employees. In fact just yesterday Fedicomen (ph), the largest cooperative in Potosi, raised its uncompromising support for our operations and highlighted Coeur’s compliance with all the rules. We do expect to, following the national Bolivian elections in December that the situation temporarily confining mining operations to the 4,400 foot elevation and below will be resolved. Clearly 2009 has been a year of exhilarating growth at Coeur. And our precious metals mining section is back in the spotlight with gold reaching record levels. We think it’s vital to take a step back and reiterate Coeur’s strategy. First, we will continue to be a growing primary silver produced with a significant gold production also. We will leverage substantial investments now in place to generate superior rates of return for shareholders. This includes also focused but significant expiration at our existing operations such as Palmarejo and it includes a new chapter in the life at Rochester. We will maintain a conservative flexible balance sheet and clearly our improved financial position now allows Coeur to access conventional mine financing without diluting shareholders. We believe this approach maximizes shareholder value and uniquely positions the company to lead the industry in cash flow growth for years ahead. Finally, Coeur today is truly a new company. Two of our three new long life lines are in production and Kensington is in the final stage of 10% of its construction with production scheduled for the third quarter of 2010. Our focus continues on reserve growth and continued operational efficiencies at our mining outfits and we believe that this strategy will allow us to focus our efforts and further reduce non operating costs. Now I’d like to call on our colleague, Richard Weston, for comments on our operations. Richard.
Richard: Thank you, Dennis. Now, Palmarejo silver and gold mining operation in Mexico continues to build momentum in its second quarter of operations. As far as underground and open pit mining performed according to plan, with extraction of all from our first major (inaudible) coming on stream in the third quarter. Silver production increased 170% to 1.3 million ounces in the third quarter compared to second quarter while gold production was up 150% at 24,289 ounces versus the second quarter at 9,730 ounces. The processing plant performed well. Average gold recovery has increased from 77% to 94.3% during the third quarter and average silver recovery increased from 53.6% in the second quarter to 73.4% in the third quarter. We’re pursuing a number of optimization opportunities expected to further enhance silver recoveries. The major milestone was completed in late October when the connection to the Mexican power grid was completed. This connection offers a good opportunity to reduce their operating costs as we move forward. Later in this call we will discuss our justifiability reserve increases at Palmarejo based on drilling at the (inaudible) Guadalupe deposit. Now, Don Gray will update you on San Bartolome. Don.
Donald P. Gray: Our San Bartolome mine, the world’s largest pure silver mine chalked up its third quarter of consistent production and operating costs. We produced 2.1 million ounces with a cash operating costs of $7.63 per helm. Through our training and development effort, San Bartolome has evolved into a high performing organization and the contributions of our mine operations group and the support staff are mentioned. As Dennis mentioned earlier, we have temporarily adjusted our mining plan while the temporary suspension of mining above the 4,400 meter elevation is in effect. Mining continues on the remainder of the property. Leon?
K. Leon Hardy : Thanks, Don. I’m delighted to report that we’ve begun the final stages of construction activity on our Kensington Gold mine in Alaska. A (inaudible) dam has been fully excavated. We are now bringing the compacted lists and fill back in, which is our primary emphasis between now and year end. The weather is cooperating with us. The pipeline work is fully engaged with excavation scheduled for completion by year end. We have begun commissioning in the plant beginning with the primary secondary crusher. Commissioning activity will proceed through the plant and transition into operator training in the first quarter of next year. We recently closed on a $45 million term loan facility that will insure Coeur has sufficient financial flexibility to complete the remaining construction work. We are firmly on schedule for a third quarter 2010 start up at Kensington. In light of the discovery of the new ore reserves, Coeur plans to restart activity mining at Rochester. Coeur began mining at Rochester back in 1986. You will recall we ceased activity mining in 2007 and went into a heat bleach operation, a process that continues to little (inaudible) ounces, well in excess of budgeted forecast. In order to restart mining a new leach pad will be constructed. We expect the Rochester expansion to deliver 2.9 million silver ounces and 30,000 ounces of incremental annual production with a six year mine life. Meanwhile, leaching continues and is expected to continue until 2014. Mitch.
Mitchell J. Krebs : Thanks Leon. During the third quarter we saw metals prices move swiftly upward impacting our revenues as well as some of non cash items. For example, there was an 18% increase in silver prices during the third quarter compared to a 6.3% increase in the second quarter. And a 6.6% increase in gold prices during the third quarter compared to a 1.9% increase in the second quarter. This third quarter metals price increase did lead to non cash adjustments we required to market as a imbedded derivative including the Mitsubishi Gold leased facility and the Franco Nevada Gold Royalty which were completed back in late 2008 and early 2009, respectively. These adjustments were triggered by the significant upward rate of change in the gold price over the last quarter as well as a modification to Coeur’s discount rate due to an upgrade received from Standards and (inaudible) during the third quarter. These two inputs are key drivers to estimating the value of these future liabilities. Added by a combination of increased production and strong metals demand, Coeur set an all time company record of nearly $90 million in revenue for the quarter. This is our third straight quarter of revenue growth. And we are on track to generate $115 million in revenue in the current quarter. Our operating cash flow is escalating up to $23 million in the third quarter which is a 35% increase over the prior quarter. We expect operating cash flow to approach $40 million in the current quarter, which would be a 40% jump over the third quarter cash flow as production ramps up and we vigilantly review costs. For the full year of 2009 we expect operating cash flow of approximately $80-$85 million as Palmarejo begins to contribute at full rate during the fourth quarter. On Slide 16 we’ve shared some additional capital spending projections that illustrate how far we’ve come. In the third quarter $42 million of the $55 million CapEx was spent at Palmarejo while $10 million was spent at Kensington. In the fourth quarter we expect total company CapEx to be approximately $48 million, $20-$25 million of that will be spent at Kensington with the balance split between Palmarejo and San Bartolome. The significant capital investment in these new assets is behind us. 2009 CapEx will end up being 39% lower than last year and will decline sharply next year and again in 2011. In the third quarter we continue to strengthen the balance sheet. We ended the third quarter with $46 million in cash and $170 million in net debt. To the end of the third quarter our debt reduction program yielded at 64% reduction in net debt obligations this year. Debt reductions will be a continued focus for us. As Leon mentioned, we have recently entered into a term loan facility to support completion of the Kensington (inaudible) facility. This $45 million facility allows Coeur to fund construction at lost to capital with diluting existing shareholders. The loan may be prepaid at any time after 12 months without penalties. At this time Coeur has not yet drawn down any funds. We’ve also taken important steps to enhance our working capital position and maximize our financial flexibility. We are now in the final stages of implementation of two credit lines for Coeur Meixicana totally $30 million. In addition we are expecting to receive our Franco-Nevada shares related to Palmarejo completion tests in the fourth quarter. The value of those shares is currently approximately $9 million. Finally, standard in Coeur’s increased their credit rating in the third quarter citing our debt reduction program and improved financial performance. In summary, revenue is increasing, capital spending is on the decline and net cash flow is growing. Don.
Don Birak: Thank you, Mitch and hello everybody. This is Don Birak. Today I’d like to share the details of the 40% increase in silver and gold reserves reported yesterday at the expanding Guadalupe deposit in Palmarejo. Guadalupe is located at a Palmarejo mine area in Mexico where we control the mining district that contains several silver and gold deposits and many exploration targets. In 2009 the focus of our exploration effort has been on the Guadalupe deposit in the (inaudible) zone in eastern portion of the Palmarejo surface mine. We completed over 18,000 meters of Coeur drilling on these two through September and drilling continues to date. Looking at more detail at Guadalupe, the current slide we show you a three dimensional imagine of the Guadalupe area and some of the gold and silver structures we have discovered nearby. Two of those, La Ekera (ph) and La Entena (ph) are new this year and will be tested with drilling in the coming months. Most of our exploration work in 2009 was at Guadalupe and we are drilling there today between Las Animas and Guadalupe Sur where there is excellent potential to discover new gold and silver mineralization. A key attribute of Guadalupe mineralization is its continuity. I’d like to turn this over to Leon Hardy now to tell you about the new mine design.
K. Leon Hardy : Our technical services team at Coeur has completed the first design, mine plan and financial evaluation for an underground mine there. This shows the potential for developing more reserves from this mineral resource. On this slide you can see the mine design drill hole pierce points and outline of the mineral resource model. In addition to the just reported silver and gold mineral reserves on this slide you see the outline of the mine resource. This mineral resource is based on a total 313 drill holes and the design was based on gold and silver prices of $800 for gold and $14 for silver, respectively. And the results of the end results from six new metallurgical tests, Don.
Don Birak: Thanks, the new mineral reserves at Guadalupe now total up 25.8 million contained silver ounces and 315,000 gold ounces, a major addition to Palmarejo current reserves. Future drilling will focus on expanding converting additional mineral resources into new (inaudible). Shifting gears a little, we now move to the Waukeem (ph) project in Argentina located about 80 kilometers north of our mark to mine. Waukeem is a large property over 71 square miles in size in the Desiato Maceif (ph) in southern Patagonia (ph). In addition to Martha and Waukeem the Desiato is host to several major precious metal ore deposits. We have drilled a total of 50 core holes on five different targets on this large relatively unexplored property and are conducting field work to identify more targets. To date the best results have come from drilling at La Negra and La Morocha where we are currently conducting a third phase of core drilling. On surface, Le Negra and La Morocha are black solidified structures with local high grade values of silver and gold. The style of mineralization we have confirmed with drilling to date is wide zones of silver and gold mineralization in breaches, (inaudible) and stock works hosted in royalitic (ph) volcanics, the same volcanics that hosts other deposits that I mentioned previously. In this slide you can see a planned map of the current drilling at Le Negra and a cross section through one of the phase 3 drill holes for which we have recently received final asset. We are encouraged by the wide length of mineralization discovered thus far which contains narrower but substantial lengths of a much higher grand mineralization. We plan to continue drilling at Waukeem through the remainder of the year. Gold in Kensington is hosted in shear and extensional vein sets and the best mineralization occurs where these two styles coalesce. Several zones of gold have been found at the Kensington target today and there are numerous targets yet to be tested. One of those new targets we are testing today is the Kimberly vein. Kimberly is a share hosted vein note exposed on the surface unlike many of the other veins in the district. This blind vein was cut by the main underground access linking the mill site with the mine. The slide that you see now shows you a cross section of the first fan of four drill holes colored from the mine decline and a photo of the core from the first hole which would be the middle hole going downwards. This vein consists of quartz and sulfites over a length of about seven feet. Essays are pending, but so far we're very encouraged by the drilling results. Let's switch that over to Dennis, please. Gold in Kensington is hosted in shear and extensional vein sets and the best mineralization occurs where these two styles coalesce. Several zones of gold have been found at the Kensington target today and there are numerous targets yet to be tested. One of those new targets we are testing today is the Kimberly vein. Kimberly is a share hosted vein note exposed on the surface unlike many of the other veins in the district. This blind vein was cut by the main underground access linking the mill site with the mine. The slide that you see now shows you a cross section of the first fan of four drill holes colored from the mine decline and a photo of the core from the first hole which would be the middle hole going downwards. This vein consists of quartz and sulfites over a length of about seven feet. Essays are pending, but so far we're very encouraged by the drilling results. Let's switch that over to Dennis, please.
Dennis E. Wheeler: Thank you, Don. Gold prices continue to decline with the recent IMF gold sale underpinning the strength of our mark. We at Coeur continue to be very bullish on our metals due to their unique characteristics, both as investment vehicles as well as sources for technological products, medical devices, and jewelry. Looking forward to 2010, most economics and analysts seem very much in accord with a strong gold and silver market and the direction of metals' prices. We've provided several examples for you on slide 30. The average estimates for 2010 silver and gold prices are $16.63 and $1010 respectively. This is far in excess of our conservative internal cash flow estimates which are based on $13 silver prices and $900 gold prices. While 2009 has been a good year for Coeur's cash flow growth, production growth, and share performance, we want you to know we believe that this is just the beginning. Our ability to complete our growth strategy to date is a tribute to the fine people at Coeur. We continue to strengthen the team as evidenced by the establishment of our tech services group at the corporate headquarters. Looking forward to 2010, we will focus on our first full year of production at Palmarejo and continued improvements there in silver recoveries and performance. Construction at Kensington will draw to a close and production will begin yielding 120,000 ounces of gold annually with significant exploration upside highlighted by Don Birak. Our new Rochester mine life will continue towards the 2011 startup adding an incremental 2.9 million ounces of silver and 30,000 ounces of gold through 2017 while ongoing leaching operations continue. And certainly we'll to aggressively explore at Palmarejo. Our focus on exploration will intensify as we wind down construction related capital spending at our mine sites, and we head into 2010 with this new ability to finance growth internally and through conventional instruments, I am sure to the satisfaction of our shareholders. With no silver hedging, Coeur will continue to have the best leverage to strong precious metal prices and all of Coeur's initiatives to the balance of this year and 2010 have been designed to create value and accelerate returns for you, our shareholders. Thank you, and now we'll entertain your questions.
Operator: (Operator's Instructions) Your first question comes from the line of Jorge Beristain with Deutsche Bank Securities.
Jorge Beristain – Deutsche Bank Securities: Hi. Good afternoon, Dennis, Mitch, Karli. Quite a few questions; but could you comment a little bit on Cerro Bayo? I didn't notice any updated guidance. Is there a possibility that that mine could come back online at 2010 at this point?
Dennis E. Wheeler: Jorge, we've completed a positive internal review study with regard to Cerro Bayo. Our exploration there has identified several new targets. Having said that, we are currently exploring the question of the sale of Cerro Bayo which is consistent with our objective of rationalizing our asset portfolio now that we have our large long-life new mines nearly completed.
Jorge Beristain – Deutsche Bank Securities: Okay. So at this point would it be a safe assumption to not include it in 2010 either because you won't restart it or it may be sold?
Dennis E. Wheeler: I don't think that I would draw that conclusion necessarily. We'll keep you timely apprised. We think there's good value at Cerro Bayo so we're not going to commit to a sale unless the consideration offered meets our expectations.
Jorge Beristain – Deutsche Bank Securities: Okay. And then just this restart of the Rochester mine, do you have an update as to what the implied CapEx for that would be and/or the potential timing for when you would start to see primary ounces there?
Mitchell J. Krebs: Jorge, Mitch here. The way we were looking at that right now is that construction of new pads would take place in the second half of next year. The two big CapEx items are essentially that pad and a new lease of equipment so we're looking at leasing options for the equipment and building that tailings paid that would probably run about $20 million in total, 10 or 15 of that in the second half of next year and the remainder then in 2011, and that's the first year then we would expect to see ounces coming off the pads in 2011 from this restart.
Jorge Beristain – Deutsche Bank Securities: Great. And in terms of your cash costs, I just ran some quick back-of-the-envelope numbers for what you're implying for the fourth quarter based on your quarterly operating cash flows diagram on page 15; it would seem that you're kind of intoning still some cost headwinds at San Barts and Palmarejo. And I can obviously understand San Barts if you're taking your production down by half a million ounces, but could you also keep us up to date as to what's happening at Palmarejo and why we would not be seeing a very strong sequential step-down in the fourth quarter as you start to ramp up your production there?
Dennis E. Wheeler: Well, we're going to continue to aggressively seek, and I'm confident, bring about lower cash cost at both San Barts and Palmarejo and we've identified, I think, some specific opportunities in that, Jorge. Obviously our continuing to improve the production profile of actual ounces at Palmarejo will have a favorable impact there and our workgroup in Bolivia, I think is solidly focused on continuing to bring down costs there with a target of perhaps at least $1 lower cost as we head into the end of the year. So I think you get the idea that this is the focus of effort for us as we continue through the balance of the year.
Jorge Beristain – Deutsche Bank Securities: Okay. And sorry last question, I promise, do you have an updated net cash cost guidance number for San Barts for 2010 similar to what you provided for Palmarejo?
Mitchell J. Krebs: We haven't announced that yet.
Jorge Beristain – Deutsche Bank Securities: Okay. Thank you.
Operator: (Operator's Instructions) Your next question comes from the line of John Bridges.
John Bridges - JP Morgan: Good morning, everybody. Just wondered if you could give us a bit more detail on this issue with the slopes ability at San Bartolome?
Dennis E. Wheeler: Yeah. We have on the line today Humberto Rada, the President of Manquiri and we've had a lot of activity the last couple of days. So Humberto, could you give John a sense of where we are there?
Humberto Rada: Yeah. Thanks, Dennis. Yes, John, temporarily the activities (inaudible) 4,000 level above the sea level (inaudible) and during the last days we have several meetings with senior representatives on the mining ministry operatives, community groups, our union, and all the meetings have been very productive and very positive. Our main supporters, which is the rotation of the cooperatives here in Potosi, who has more than 20,000 members and represents the main activity in the city and in the mining activity in Potosi, are beginning to give very strong support to our operations because of one single reason. We are in the same business. We are partners with them (inaudible) joint venture agreement different parts of the mine and they expressed strong support today and yesterday, and we believe that this temporary suspension will be fixed soon.
Dennis E. Wheeler: Thank you, Humberto.
John Bridges - JP Morgan: Yeah. So I was just wondering, how much of the deposit is potentially likely to destabilize the slopes of Cerro Rico? How much of the reserve could affect the slope's stability at Cerro Rico?
Dennis E. Wheeler: Well, let me say that we are clearly of the view that our activities are not in any way destabilizing Cerro Rico Mountain because we are completely a surface mining operation utilizing no explosives there. The government is clearly interested in studying the impact of somewhat unregulated and unorganized activities that occur with numerous underground mining groups within the mountain. Insofar as our ore reserves, without giving you a specific quantification, now let me say to you that we do have high-grade ore reserves above the 4,400 level. Clearly we have the rights to mine these and we will. At the same time I will tell you that because we're in an election season for the presidency down there, we are accommodating the request of the government there, although the president has clearly confirmed support for our investment there as have many of the leaders as Humberto discussed.
John Bridges - JP Morgan: So would it be fair to say that this is not targeted at you, it's just a general review which you got caught up in?
Dennis E. Wheeler: Well, I think that's a fair statement and of course as you could tell from Humberto's comments, we really do include several groups within our mining operation there, but we are continuing to be gratified by this ongoing strong support.
John Bridges - JP Morgan: Okay. Many thanks, Dennis. Good luck.
Operator: Your next question comes from Chris from UBS.
Chris - UBS: Hi. Good afternoon, thanks. Just wanted to get a little more clarity on how Guadalupe will eventually be incorporated into the mine plan, if you have any guidance on many the capital required to develop it in 2010 and then if it ultimately will change the previously guided annual production around 9 million ounces of silver?
Dennis E. Wheeler: Leon, Richard?
K. Leon Hardy: Well, at this point the mine plan we're predicting in 2010 that we will initiate development work — at this point we have not put any additional ounces into the 2010 schedule. We're still on the preliminary stages of evaluating the deposit and the timing of the deposit.
Chris - UBS: Okay. So are you saying it's probably too early to gauge how much capital will be spent on it next year?
K. Leon Hardy: Yes. It's probably too early for the timing next year. We're still formulating our exact plan and how it will fall next year.
Chris - UBS: Okay. So we might get an update in the fourth quarter on the plan?
K. Leon Hardy: I think we'll be much closer at it then than we are right now.
Chris - UBS: Okay, great. Just another question on Palmarejo, the recoveries improved during the quarter and you mentioned in the release that they were improving again in the fourth quarter. Can you give us some sense of where they are now, the silver recoveries?
Richard Weston: Yes. It's Richard Weston. Silver recovery is currently in the mid to high 70s and we are continuing to work on increasing this during the fourth quarter.
Chris - UBS: Do you have some sense of where it will level off and will that be in the fourth quarter potentially?
Richard Weston: We're targeting another feasibility study in the metallurgical test work results of around 90%.
Chris - UBS: Okay great, thanks. And would it be possible, you gave an 18 million ounce silver production guidance for this year could you give us some sort of breakdown — at least for the large few mines is Palmarejo still expecting around five or a little over five?
Mitchell J. Krebs: Chris, its Mitch here, Karli will get back to you after the call and walk you through that.
Chris - UBS: Sure. That would be great. And then just last question, not to belabor the San Bartolome issue, but you said for the fourth quarter you expect now about 500,000 fewer ounces and otherwise, can you give us some sense of how if they were to — if the band were to persist into next year, would that sort of be the run rate going forward a few quarters or would it continue to ramp down if you weren't able to mine above the 4,400 level?
Dennis E. Wheeler: We're not going to respond to that here today, Chris, just because we don't foresee that as the outcome and at this point it would be speculation.
Chris - UBS: Okay. That's it for me. Thanks.
Operator: At this time there are no further questions. Do you have any closing remarks?
Dennis E. Wheeler: Thank you, operator. We'd like to just close today's call by expressing our appreciation for your continued interest in Coeur and watching with us the progress of the company. Clearly we look forward to visiting with you as we enter 2010. We will continue our focus and will clearly report to you optimization of our three new mines. We're obviously excited about the good finish of the construction activities at Kensington to bring a world class new gold mine into production and with our improvements at San Bartolome and our expansions at Palmarejo we think that with continued focus and good teamwork by our people here that 2010 will be a good year and we're also nearing the point to where we feel comfortable in looking at additional growth initiatives for Coeur as we enter 2010 so thank you for joining us here today.
Operator: This does conclude the conference. You may all disconnect.